Operator: Good day, ladies and gentlemen, and welcome to the Orion Group Holdings Incorporated Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference maybe recorded. I would now like to turn the conference over to Mr. Shane Martin with Investor Relations. Sir, you may begin.
Shane Martin: Thank you, Sabrina. Good morning everyone. Welcome to Orion Group Holdings' Fourth Quarter and Full-Year 2017 Earnings Conference Call and Webcast. Joining me today are Mark Stauffer, Orion Group Holdings' President and Chief Executive Officer; and Chris DeAlmeida, our Executive Vice President and Chief Financial Officer. Regarding the format of the call, we have allocated about 15 minutes for prepared remarks, in which Mark and Chris will highlight our results and update our market outlook. We will then open the call for questions. During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profits, gross margin, EBITDA, EBITDA margin, backlog, projects in negotiation, and pending awards, as well as our estimates and assumptions regarding our future growth, administrative expenses, and capital expenditures. These statements are predictions that are subject to risks and uncertainty, including those described in our 10-K, that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also, please note that adjusted net income, adjusted earnings per share, EBITDA and EBITDA margin are non-GAAP financial measures under rules of the Securities and Exchange Commission, including Regulation G. Please refer to the reconciliations and definitions, inclusive of the most comparable GAAP measures and reconciliation tables accompanying this earnings call within the press release issued this morning. The press release can be found on our Web site at www.oriongroupholdingsinc.com. Also, for additional discussion of risk factors that could cause actual results to differ materially from our current expectations, please refer to our quarterly and annual filings with the SEC, which are also available on the Investors section of our Web site. And with that, I would like to turn the call over to Mark Stauffer, President and Chief Executive Officer. Mark?
Mark Stauffer: Thank you, Shane, and welcome everyone to our call this morning. First, I'd like to thank our 2,500 coworkers for all their hard work, dedication, and commitment to our company. During 2017, we faced challenges that impacted not only the company but our coworkers, their families, and their communities. I'm very proud and very appreciative of the way our team responded to these challenges. While 2017 was a challenging year with customer programming [ph] delays impacting the first-half of the year, and significant adverse hurricane impacts in the third quarter, we ended the year on a strong note with solid operational performance and continued strong market demand. Those same hurricanes created opportunity for additional projects in the fourth quarter and helped lead to better equipment utilization during the quarter in our Marine segment. Here are some of the highlights from 2017. We experienced continued strong demand for our services across market segments. We continued to improve the infrastructure sector by reducing costs and evaluating equipment needs in the Marine segment to meet forward market demand. We expanded the building sector by entering into the fast-growing market of Central Texas with the acquisition and integration of a concrete company serving this region. We prepared to further develop our targeted infrastructure, industrial, and building sectors. And lastly, during 2017, we bid on approximately $2.5 billion worth of projects, winning approximately $506 million or a win rate of 20.3%. Turning to our results, we executed well on our projects during the fourth quarter. It's important to note that for year-over-year comparison purposes 2016 included one-time charges related to the accounting treatment of a specific contract with significant highly unusual differing site conditions. That said, we are pleased with our results for the fourth quarter of 2017, including near record levels of quarterly revenue, while generating more than $17 million of EBITDA. This level of revenue and EBITDA performance illustrates our ability to be within our long-term revenue and EBITDA ranges over the next several years. As we go forward, our strategy remains the same. We seek to be the premier specialty construction company focused on providing solutions for our customers across the infrastructure, industrial, and building sectors, while building our market share and enhancing our operations in these areas. We will continue to look for opportunities in these areas through both M&A and Greenfield efforts. Specifically, we are focused on solidifying and improving our operational results in the Marine segment while continuing to provide high-quality services to our customers, working to expand and grow our Concrete segment, and pursuing opportunities in the industrial sector by leveraging our skill set and customer relations to expand our addressable market. As we increase our service offerings, we will continue to work to deploy new capital to high-return high free cash flow businesses with a focus on increasing our return on invested capital. We expect demand drivers to continue to lead to high quality bid opportunities across the infrastructure, industrial, and building sectors. We believe conditions exist for improved bid pricing and remain hopeful that markets will recognize these conditions and adjust accordingly. The Infrastructure sector, which consists of our Marine segment, continues to provide both public and private opportunities to maintain and expand marine facilities on U.S. waterways. Throughout our operating areas market fundamentals remain positive and we are seeing pockets of margin expansion. As I previously mentioned, we anticipate increased bid opportunities in the near-term related weather event in 2017. This could provide an additional catalyst for increased asset utilization. Additionally, private sector bid opportunities continue from downstream energy customers as they expand their water site facilities associated with refining and storage. Also, recreational demand continues from private and public customers as local arenas are being expanded and remodeled, and bid opportunities related to cruise lines remain promising as we track projects related to new destinations or refurbishment of existing destinations in the Caribbean. The underlying fundamentals of our Marine business remain sound with solid demand drivers, big opportunities, and a solid backlog. We will continue to be a leading and premier marine construction company now and in the future. As mentioned on previous calls, volatility in the Marine segment remains a concern, and we have and will continue to take the necessary steps to be nimble with respect to idle labor and equipment costs to address volatility. Our goal has been and will continue to be focused on providing high-quality marine construction services to our customers throughout our operating markets. The building sector which consists of our Concrete segment continues to have solid long-term demand drivers as well. The markets we currently serve continue to retain their positions as leading growth areas for population and businesses. Population growth throughout our markets continues to drive new distribution centers, office expansion, retain facilities, multifamily housing units, educational facilities, and medical facilities. In Houston, we are experiencing a very competitive environment, but we expect to continue to maintain market share. We are focused on expanding our market share in the Dallas-Forth Worth including pursuing structural opportunities. Finally, we expect to continue to see solid growth in the Central Texas market as we work to expand market share with strong end market drivers. In the industrial sector, we will continue our Greenfield expansion by combining talent and resources from both the Marine segment and the Concrete segment to continue to pursue foundation work inside the industrial environment. The massive long-term petrochemical-driven opportunities along the Gulf Coast provide significant potential to expand our addressable product opportunities. In fact, according to the American Chemistry Council the U.S. is on pace to become a net exported or natural gas this year as a result of the shale revolution which has led to increased domestic production of natural gas. We believe this should lead to an outpaced growth in the petrochemical industry. It is forecast to account for more than half of the construction spending in the manufacturing sector. Additionally, we continue to monitor macroeconomic factors that could impact our business. The Tax Cuts and Job Act of 2017 could prove a catalyst for general economic growth, which should in turn provide for additional opportunities across our business. Action on our infrastructure bill to address the nation's deteriorating infrastructure could likewise provide additional opportunities across our business. The latest report from the American Society of Civil Engineers gives the nation's infrastructure grade a B+, highlighting the need for action on infrastructure. Lastly, we will continue to monitor recent developments on a proposed imposition of tariffs on steel imports. While it is currently unclear what the total impact would be, impositions of tariffs on steel imports could cause short-term disruptions in the bid letting cycle as customers recalibrate their budgets as a result of higher steel prices followed by the tariffs. In closing, we had a strong fourth quarter and end to our year. The fourth quarter demonstrates our ability to execute well with solid bottom line results. Through a combination of strong fundamentals, improving efficiencies in our business, and targeted acquisitions we believe we are extremely well positioned to take advantage of improved economic conditions and increases in infrastructure spending. At the same time, we are focused on improving our operational results in our Marine segment, expanding and growing our Concrete segment in the Dallas-Fort Worth and Central Texas markets, and pursuing opportunities in the industrial sector. We will continue to focus on delivering high quality projects to our customers with continued expansion of our services across our operating segments and areas. While the past couple of years have been choppy, we believe we have developed a strong go-forward strategy that will result in continued bottom line improvement with more consistent earnings and higher free cash flow returns. We remain excited about the future and believe we have solid fundamentals for future success. Now, I'd like to turn the call over to Chris to review the financial results in more detail. Chris?
Chris DeAlmeida: Thank you, Mark, and thanks for joining us. For the full-year 2017, we reported net income of $400,000 or a $0.01 diluted earnings per share. Excluding the fourth quarter tax-related benefit we mentioned in our earnings release this morning, adjusted net loss for the full-year of 2017 was $3.9 million, or $0.14 diluted loss per share. These results compare to net loss of 3.6 million or a $0.13 diluted loss per share in the prior year period. Contract revenues for the full-year 2017 were 579 million. Of which, approximately 50% came from the Marine segment and approximately 50% came from the Concrete segment. Within the Marine segment, approximately 52% of full-year 2017 revenue was generated from federal, state and local government agencies while 48% was generated from the private sector. This compares to 46% of full year 2016 revenues being generated from federal, state, and local government agencies and 54% from the private sector in the prior year period. In the Concrete segment, more than 83% of full-year 2017 revenue was generated from the private sector as compared to 90% in the prior year period. As we move forward, we expect to continue to see a higher mix of private sector revenues driven by the contract we are pursuing, and the overall mix of our concrete and industrial business. Consolidated full-year 2017 gross profit was 67 million or gross margin of 11.6%. This compares to 2016 reported gross profit of 68 million or a gross margin or 11.7%. SG&A expense for the full year 2017 was 66 million or 12% of contract revenue compared to 65 million or 11% of contract revenues in the prior year period. This slight increase is related to the expansion of our concrete business in the central Texas offset by reductions in corporate overhead and consulting fees during 2017. As we move forward, we expect leverage from our SG&A expense. And we expect this expense as a percent of revenue to decline starting in 2018. Full-year 2017 EBITDA was 31 million or 5.4% EBITDA margin. This compares to full-year 2016 EBITDA of 38 million or a 6.6% EBITDA margin. The decrease in EBITDA is primarily related to the customer permit delays we saw in the first half of the year and hurricane events in Q3, mostly offset by followed execution in the fourth quarter. For the full-year 2017, we have been on 2.5 million worth opportunities and we are successful in 506 million. This resulted in 20% run rate for the year and a book-to-bill ratio of 0.87 times. As of December 31st 2017, we had a backlog of work under contract of 361 million. Of which, 177 million was related to the Marine segment while 184 million was related to the Concrete segment. Moreover, the company has been better, or has been awarded subsequent to the end of 2017 an additional 114 million worth of opportunities. Of that, 87 million is related to the Marine segment while 28 million is related to the Concrete segment. In total, this means we currently have 475 million of projects between backlog and low bid. Now turning to the balance sheet, as of December 31st 2017, we had 9 million of cash on hand and access to 39 million under our revolving line of credit. We ended the year with 86 million in total debt outstanding. Of which, 10 million was related to revolver and 76 million was related to the term loan. As we go forward, we will continue to focus on paying down debt with excess free cash flow. We believe our liquidity position is more than adequate for general business requirement and for servicing our debt going forward. Additionally, we are in compliance with our financial covenant including being below the 3.0 leverage ratio required at the end of the year. In fact, at the end of the year, our leverage ratio was below two times partially as a result of the total $50 million of debt we had paid down since inception of this facility in 2015. Additionally, our bonding program remains solid and is more than adequate to support our bid activities. As we look ahead, we are pleased with the level of opportunities we have in front of us across our business sector. Our backlog and work bid remains strong. We are optimistic given the healthy bid opportunities we have been seeing over the past several months. Currently, we have approximately 479 million worth of total bids outstanding. Of which, 247 million are related to the Marine segment. And 503 are related to the Concrete segment. As Mark mentioned, we will continue to focus on delivering profitable returns to shareholders through the continued expansion of our existing and future operations in infrastructure, industrial, and building sectors. The fourth quarter showed the level of activity we can achieve with solid execution and strong business drivers. We believe we have the right equipment and teams in place to execute at or above this level long term. And we continue to -- we will continue to support our customers in all of our operating sectors. We believe there're solid opportunities to see good performance in both our Marine and Concrete segments, and we are very excited about the prospects for industrial sector. Finally, we are optimistic about 2018 and look at see improved bottom line results as we go forward. With that, I'll turn the call back over to the operator to begin the Q&A portion of the call. Sabrina?
Operator: Thank you. [Operator Instructions] And the first question will come from the line of Matt Duncan with Stephens. Your line is now open.
Matt Duncan: Hey, good morning guys.
Mark Stauffer: Good morning.
Matt Duncan: So first couple of questions just to help us understand the quarter a little bit better, on the Marine business, can you talk about how much revenue you got that was sort of storm related, and then the overall impact that that had on margins, kind of what would underlying margins have been without that work?
Mark Stauffer: Well, essentially what we had was we did have some dredging projects that occurred during the quarter that were directly related to the storm event. We also just had other work that we executed on. I think that incrementally we did see some nice uptick in our utilization in marine equipment as a result of some of that increased dredging. So it wasn't the only thing that was going on in the quarter but it did help contribute better equipment utilization.
Matt Duncan: Mark, can you quantify what the revenue was from that, please?
Chris DeAlmeida: We did not specifically break that out, the exact amount related to the hurricanes. It did make a contribution to it, like Mark said, we did have some other jobs as well. So looking at it I think it would be lower on the total scale as far as revenue is concerned…
Matt Duncan: Got you, that helps. Thanks. And then on the commercial concrete business, it sounds like there was a negative weather impacting again. I don't know if it's possible to quantify that, but if so that'd be great. And then I assume weather has probably been a little bit of an issue here in the first quarter in that business as well, so maybe help us think through how to think about revenue in that business in the first quarter specifically with weather in mind.
Mark Stauffer: Yes, I'll let Chris touch on that a little bit. But yes, the weather pattern over the winter has been a little bit funky. In Texas we've had a couple of kind of winter storm events that impacted us. We've also had kind of a very -- a kind of weather pattern that has not let us get the good continuity on some of our stuff. We're hoping that we're getting out of that pattern, and can get some good productions going. But it definitely has had some impact in the Concrete business.
Matt Duncan: Okay. And then on a revenue number, I don't know if you can help us. Just trying to make sure we kind of understand all the moving parts here. How much of an impact was weather?
Chris DeAlmeida: It made a couple of percentage point's difference in the weather. Again, some of that's just timing of when it executes. But it's a couple of percentages points overall.
Matt Duncan: Okay. And then last thing for me just looking ahead to 2018, your comment is you expect improved profit. You obviously had a loss at the earnings line in '17. So does that mean profitable at the earnings line in '18? On the EBITDA side how much of an improvement might we see there? I was hoping maybe you could give a little more detailed outlook than just some improvement.
Chris DeAlmeida: We want to be a little bit vague as we go into the year clearly here. But yes, from the standpoint of an operating income perspective or net income perspective we would expect to be profitable for the full-year 2018. So we would expect to move into that. On an EBITDA side of things, we've laid out that we think long-term the business can get to a $60 million to $100 million EBITDA sustainability. I don't think we'll be there in 2018 just with -- like we talked about on the last quarter call just with some of the moves we've made in the different segments. It takes a little bit to see that fully come through. But I do think we could see some growth in that. So as we look forward I would expect to see some nice healthy growth in the EBITDA year-over-year.
Matt Duncan: Okay, so Chris, and again, maybe you don't want to give a spot number. But to give you an opportunity to maybe help us out a little bit. The current consensus EBITDA forecast is in the low 40s, call it $42 million. Is that doable this year based on what you see today? I know you expect some improvement this year, probably more of it in 2019. I just don't want us to get too far ahead of what you guys are expecting.
Chris DeAlmeida: As I would look at it, yes, it think the upper 30s low 40s is a doable percentage -- or doable EBITDA number in 2018.
Matt Duncan: Perfect. All right, thanks guys.
Operator: Thank you. And the next question will come from the line of Jon Tanwanteng with CJS Securities. Your line is now open.
Jon Tanwanteng: Good morning gentlemen. Thanks for taking my questions, and congrats on a relatively clean quarter finally.
Mark Stauffer: Thank you.
Jon Tanwanteng: Yes. From a margin perspective, especially with regards to what you have in the current backlog, how sustainable do you think the gross margins are heading into the first quarter of '18 and kind of through the year?
Chris DeAlmeida: I think they're sustainable in this time. Keep in mind there's some cyclicality based on the timing. Q1 is always our weakest and we grow into the third quarter. But what you're kind of seeing in that margin profile that you saw in the fourth quarter is good continuity between projects, good utilization of our assets overall. So that's what's driving it. If we look back to the first-half of the year, clearly in the first-half we had a lot of the permitting delays that impacted the business, you had idle labor and equipment. Clearly in the third quarter 85% of our business was impacted by hurricanes overall, so that made it impact in utilization and timing. So as far as looking at our backlog, looking at where margins are, those are representative of where that stands and what we expect going forward. We continue to see some pockets of pricing improvement as well. So I would expect from a gross margin perspective assuming, again, factoring in some cyclicality that this is a very reasonable expectation.
Jon Tanwanteng: Okay, great. Thanks, that's very helpful. And then just on the backlogs themselves, they're a bit lower than they were entering '17. I think you attribute that mostly to timing and maybe a big project exiting '16. But are there any other factors impacting that, and from a end demand perspective or percentage of wins on bids that's really impacting that? And then how does that square up with the positive outlook for '18, do you expect relatively more awards in general?
Mark Stauffer: Well, I think we're still very pleased with what we're seeing out in the end market drivers. We had a nice win rate for the full-year '17 was 23%, which is in line with what our expectations are. It is a timing thing. There's a normal ebb and flow of that. A lot of projects and particularly in the private sector take some time. Sometimes they take a while to come to fruition, so that factors into it. As you point out, we did have a large project come in at the end of '16. It kind of skews a little bit, the year-over-year comparison. But as we look at the backlog that's one data point we look at. We also look at what we have in bid, and we also look at what we have upcoming to bid. So with all that we're pleased. Again, as we've talked about, there's normal ebb and flow, there's difference to levels of competitiveness in different areas of both segments of our markets that still factor in to -- we still occasionally will see projects with more bidders than we'd like to see in some of the marine areas, and other projects we see fewer bidders. And so we're appreciative of that. We are very competitive in the Houston market in our concrete business, but we expect to maintain market share. So overall we're confident that the end market drivers and our ability to win work is there so that we could achieve our objectives going forward.
Jon Tanwanteng: Chris, you may have mentioned this -- I'm not sure if I caught it or not, but what is the cash impact of the new tax law in '18, and kind of where that stand before December?
Chris DeAlmeida: So, here's what I would say, we didn't define a cash impact totally, but we expect the income tax rate to be 26% to 28% on a go-forward basis, that would be effective in 2018. Clearly we still have a year to get everything fully examined, so that could fluctuate as we go. But we'll update if we start to see dramatic. As far as the fourth quarter itself, we had a $4.3 million benefit related to the implementation of the new tax law, and that's predominantly related to revaluing our deferred tax assets.
Jon Tanwanteng: Okay, great. And then just one final one, I think you mentioned a lot more competition in Houston relative to maybe a quarter ago. Is that correct, and if so what's the margin impact that you're expecting from that increased competition?
Mark Stauffer: So Jon, I'm glad you're clarifying that. That is not a quarterly comment. I'm just saying it a little bit differently than we've said it in the past. I've commented on that for the last couple of calls, I said it differently, that we've had tightness in the Houston market in the concrete business. There's been no change. It has been kind of a tight market. And by that I mean it's very competitive. So, again, we continue to win work. We continue to do good quality work for our customers, and our intention is to keep doing that. We do think we will, as we have done, maintain market share. But it has put some pressure on margins in Houston. They're down maybe a point or two in Houston on the concrete side. We're hopeful that will adjust out. We think going forward there's a lot of good demand drivers. And as I said just in a general statement and I've said this before, we believe that bid pricing should be stronger than it is. And we think there's a lot of good catalysts across both segments, that as we see it we think that the conditions exist for better bid pricing. And hope the markets recognize that as well. But no change from what we've said before implied in my comment.
Jon Tanwanteng: Okay, great. Thank you very much.
Mark Stauffer: Okay.
Operator: Thank you. And the next question will come from the line of Ben Klieve with NOBLE Capital Markets. Your line is now open.
Ben Klieve: All right, thank you. A few questions here, first a question regarding the hurricane impact in the fourth quarter. Curious at what point in the quarter did you return kind of to business as usual following the hurricanes? And did you enter the quarter at a full utilization rate on day one or was there a lingering impact and you didn't get back to kind of normalized operations until midway through the quarter?
Mark Stauffer: Well, a couple of things. One, as the events of -- the storm events were largely completed as we wound up September. So we were getting back to normal in September, towards the end of the third quarter. And so we were basically getting back up and started executing on the work that we had in hand. And we're just back to work and working on that. So a lot of what we did during the quarter, going back to the first question, was stuff that we already had in hand, and it was just getting back to work. We did have some incremental work that came about during the quarter, particularly related to emergency dredging projects that did help with equipment utilization, but the bulk of our equipment utilization was centered around work that we had in hand that, again, after the delays going on in the third quarter around the storm event, plus as you may recall the delay in particular on one project around the customer permitting issues was resolved in the third quarter, so that we could begin executing on that project in the fourth quarter. So that occurred as well. So that's kind of what went on in terms of our execution of work.
Ben Klieve: Okay, perfect. Thank you. And I'm trying to understand the gross margin improvement from '16 to '17 during the quarter. On this call last year, one-time tax charges you said were almost wholly responsible for the 270 basis point decline from -- excuse me, from '15 to '16. Can I assume that that basically -- once you add that back that the remaining 600 basis point improvement on the gross margin like from last year to this year was attributable to the Marine segment or is there any other significant puts and takes on the gross margin line?
Chris DeAlmeida: Yes, I mean, keep in mind last year, in 2016, we did have some additional costs associated with a job that there was a claim outstanding on that did impact the fourth quarter. But if you look from a year-over-year perspective, and that that was related to the Marine segment, not Concrete segment. Beyond that, then it just gets into the timing and mix of work. And clearly we had some good execution last year, but we had really solid execution this year, comparatively speaking.
Ben Klieve: Okay, perfect. Thank you. Couple other questions. I guess, one, I'm curious about where you stand kind of in the timeline regarding the rightsizing of your asset base. Specifically I'm kind of curious what you expect -- what cash impact you expect from the sale of assets in 2018 relative to 2017. I'm trying to figure out what CapEx is going to look like on a net basis when you factor in the sale of assets for this year?
Chris DeAlmeida: So if you look this year, we had proceeds from the disposition property and equipment about $6.8 million. Prior year was about $2.9 million if I'm not mistaken. And so from that perspective, I think in 2017 we were able to move through a lot of the pieces we wanted to move there. So there will be some -- a little bit of additional that happens in 2018. But I would expect it to be probably closer in the realm of the 2016 number versus the $6.8 million we did this year.
Ben Klieve: Okay, that's very helpful. Thank you. Okay, and one question relative to the impact of the tax law on your clients, particularly on the Industrial and Concrete segment, do you get the sense that the impact of the tax law will lead to increased activity in 2018, or do you think the positive development from that law will be more of a 2019 event on your customers?
Mark Stauffer: Well, that kind of -- that's the $64,000 question, right. I mean, I think that in general, as just kind of an overall comment, if we see the tax law lead to higher GDP growth, and that should just generally be a good catalyst across the board. Specific to the relative industries, I think that it gets a little more complicated when we talk about the impact to our segment. I think there's no doubt on the Marine side and the Industrial side a lot of activity is related around what's going on with the energy business in terms of production, storage, export, things of that nature. And again, if you look at it from a macro level, if the tax act drives great economic activity in this country coupled with global activity and less demand for energy, that's going to be a positive impact for those businesses. If we look at just, again, general activity, a general increase in economic activity that drives -- economic activity that leads to further population expansions in Dallas-Fort Worth, in the Central Texas area that are largely and mostly unrelated to what's going on in energy, again that's going to lead to increased opportunities for us. So from a macro standpoint we think it's a positive. We'll see what happens there. I do tend to think right now we're kind of from an economic standpoint we're sort of as an economy, sorting through what all the impacts are going to be. So I would expect it second-half of the year before we see a good feel for what the general economic impact is going to be. And then that carries on into '19. And so net-net I think that's a positive for us.
Ben Klieve: Perfect. That does it for me. Thank you much.
Mark Stauffer: You bet.
Operator: Thank you. And the next question will come from the line of Marco Rodriguez with Stonegate Capital. Your line is now open.
Marco Rodriguez: Good morning, guys. Thank you for taking my questions.
Mark Stauffer: You bet.
Marco Rodriguez: Hey, I was wondering if you could talk just a little bit more about the Marine construction side and the hurricane impacts from a revenue gross margin standpoint. Just want to make sure I'm kind of understanding your answers here to some of the prior questions. So, if I understood things correctly, the revenue impact in Q4 from the extra hurricane work, if you will, was relatively minimal. And if I understood the gross margin impact, though it was helpful it didn't sound like that was the big driver for the upside perhaps you saw on gross margin. It was just more of just regular business that you had in hand. Is that a fair statement, or am I missing something?
Mark Stauffer: I think that's a fair statement. And there's no doubt it contributed. It was incremental, it helped. And then we did have some increased utilization of some of our assets directly related to that, but I think most the activity that we saw just the uptick of activity around work that we had in hand and executing on that. And just kind of that's a good part of way for me to remind everybody that when we see hurricane event, we do see some near-term impact generally related around dredging which is what we have seen. And I think I talked about this in the last call. It's kind of worked like [indiscernible]. We will some of the inspection effort. We will see some immediate things around dredging where -- to the extent but that's an impact from a storm which it was and in the Gulf Coast related particularly around Harvey, so that we see some activity around dredging. And then long-term, we will see impacts around repair and restoration work. And that could be over the next 12 to 48 months and we might see Carib. We are currently working down in the Carib right now. We are tracking opportunities related around long-term opportunities related to repairing and restoration activities. That typically takes a long time to work through. And it's an additive catalyst to everything else we might have going on. So, it's kind of worked out according to how it typically does. So again, we did some increased activity in Q4 on the marine side related around that. But the bulk of what we did was just execution of work that was -- that we already had.
Marco Rodriquez: Got it. Thanks, very helpful. And then, in terms of the way we should be thinking if I heard you correctly the utilization levels in the marine construction side going into fiscal '18, it sounds like you should have relatively higher level of utilization rate if I understood you correctly, is that correct?
Mark Stauffer: Well, that's certainly what we strive for. I mean as Chris talked about earlier with the -- on the CapEx question, we are looking to make sure that we've got a good balance of equipment. But on the marine side between what we have, what we need to address our business is there getting a good balance between owned equipment and equipment that maybe we rent or lease on a shorter term basis for flexibility purposes. So, we have been going through that process. And part of that has been around just to your point to make sure that we have a good balance there. So, we have good utilization. We are going to continue on with that. But again, we are striving to be more nimble as I talked about in my remarks to address that point. And we'll continue to focus that as we go into 2018. And our goal is to drive -- to get that equipment utilization in a nice balance.
Chris DeAlmeida: And also, one thing keep mind of course, cyclicality of the business. Q1 is our weakest period. Typically, Q3 is our strongest. So, keep both the figure at the backend of the year. So, keep that in mind as that can affect utilization as well.
Marco Rodriquez: Got it. And in terms of the marine side, the right sizing of that business, is pretty much of the heavy lifting been done and now just some tweaks here and there going forward, how should we kind of think through that?
Mark Stauffer: Yes, I think we made a lot of -- let me say it this way we made a lot of progress last year on that regard. We are still looking at that this year. But, we think we have got lot of good talent throughout the company. But we have good talent in on the marine side that is focused on going after work, executing work well and making sure that we have a good balance of equipment there. So, again we are going to continue to focus on that. I think a lot of efforts that we went through last year have gotten us to where we want to be largely. But, we are going to continue to focus on that going forward. And so, I think there is some left on our equipment. As Chris send earlier, I think we do expect that to come down significantly this year, but again, we are just -- we are focused on getting that balance right. And again dealing with, as Chris said, we still have the cyclicality of the business particularly on the marine side. And so, that -- nothing has changed there. But, I think again we did made good progress last year with our efforts.
Marco Rodriquez: Got you. And last quick question here. On the Concrete side, just kind of circling back around to the comments in Houston, obviously, you made mention in past calls about tightness down there and increased levels of competition. If you can maybe talk a little bit about some of that dynamics that are going on down there that are kind of increasing that level of competition versus maybe a year or so ago? And then how that sort of relates to the competitive levels in the Austin area and in Dallas as well? Thanks.
Mark Stauffer: Sure. Well, again I don't think -- I think am speaking about it a little bit differently let's call that in past calls that I don't think the net effect is any different. I have said for some time going back in the last year that we have been seen and expected tightness in the Houston market. I am saying that just a different way but mean the same thing. It's a competitive environment in the Houston market. We have had kind of some shift going on on the types of work that are ongoing. I think we've -- we obviously in the Houston area we had some disruption last year with -- this is a general market with the big impact in the Q3 from the hurricane. So, I think that's just that remains -- it remains a competitive market, but that being said, we are excellent at what we do. We have got lot of great people. We have got a great reputation. We do great work for our customers. So, we do expect to maintain market share. In the Dallas Fort Worth market, again we are starting as I -- with a less market share perspective up there. In the Dallas market, again, did not have the impacts from the hurricane last year. They are driven by different economic drivers in that market that we believe we are going to continue to be a growth area in terms of population and businesses and corporate re-los and things like that that are going to drive business opportunities up there. And so, we are starting from a great solid base. But we've got room to take market share up there just given our relative size in that market to our size in the Houston market. And of course in the -- and excuse me in the central Texas market, we are just getting started in that market. We are very pleased with the efforts of our concrete team to integrate those operations into our systems. And we want to be very careful that we don't get ahead of ourselves in terms of our going after work and making sure that we do it smartly and efficiently and profitability. And so, our team is focused on that right now. But again, those markets are driven by factors that we believe are going to provide long-term population growth and business growth in those areas. And so again, we are starting out form a really very small market share relative to the overall size of that market. So we have got a lot of room to grow in that market in terms of taking market share. So, that kind of gives me a little bit of flavor about the [technical difficulty].
Operator: And the next question will come from the line of Min Cho with B. Riley FBR. Your line is now open.
Min Cho: Great. Good morning. Hey, Mark and Chris.
Mark Stauffer: Hey, how are doing?
Min Cho: Good. So most of my questions have been answered, I have two more here. In terms of the Marine segment, the project that had the permitting delays have started in the fourth quarter. What's the duration of that project for 2018?
Mark Stauffer: It will continue into the first half of 2018.
Min Cho: Through the first half, okay, and then, the commercial concrete side, this kind of goes to I think one of the first questions that you had. Has the weather in the first quarter in Texas been a lot worse than normal so that we actually see a slower start to the year then what normally seasonality?
Mark Stauffer: It has. There has been a lot of fronts. And unfortunately there has been a lot of time period particularly here in Houston market where you get two or three days of rain -- a couple of days of dry and two or three days of rain. So unfortunately, it's not allowing enough time to get good productivity out of that. So that is -- that has impacted that a little bit. I think that even in Houston market on the optimistic side of where that market is headed to, I mean we will see that work kind of continue, but we are starting to see a little bit more optimism from architects that are getting busier in Houston, and optimism from our customers about increased activity in Q3-Q4.
Min Cho: Okay. And then finally, when you are talking about modifications existing [indiscernible] work, does that usually lead to additional work on top of the contract that you are doing, or this is a push out of your current work, so that you do some of the -- some more emergency type of work first?
Mark Stauffer: So, typically what it is just a way for them to get work out quicker. So it maybe completely unrelated to a project that you're having. You maybe working on Point A and they move over to Point E to go do some work, but they mod [ph] your contract on Point A. So it's a way for them to get work out quicker than they otherwise would. And again, we reported some of that in the fourth quarter. Again, we talked about several times in terms of that impact on the quarter, but we will see that going forward. We are working with them right now on some things that was to add work. So I would say generally it's incremental from the standpoint of its work that will be done sooner than if that was going through the normal letting process. So it just allows them to speed that up and address some of the needs that are out there as a result of the hurricane event.
Min Cho: Okay. So that's it from me, thank you.
Mark Stauffer: You bet.
Operator: Thank you. And I'm showing no further questions. I would now like to turn the conference back over to Mr. Shane Martin for closing remarks.
Shane Martin: Thanks for joining us on the call today. We look forward to seeing you guys all on the next call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude your program. You may all disconnect. Everyone have a great day.